Operator: Good morning, and welcome to the Addus HomeCare Corporation Third Quarter 2018 Earnings Conference Call. Today's call is being recorded. To the extent any non-GAAP financial measure is discussed in today's call, you will also find a reconciliation of that measure to the most directly comparable financial measure calculated according to GAAP by going to the company's website and reviewing yesterday's news release. This conference call may also contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995, including statements, among others, regarding Addus' expected quarterly and annual financial performance for 2018 or beyond. For this purpose, any statements made during this call that are not statements of historical fact may be deemed to be forward-looking statements. Without limiting the foregoing, discussions of forecasts, estimates, targets, plans, beliefs, expectations and the like are intended to identify forward-looking statements. You are hereby cautioned that these statements may be affected by important factors, among others, set forth in Addus' filings with the Securities and Exchange Commission and in its third quarter news release. Consequently, actual operations and results may differ materially from the results discussed in the forward-looking statements. The company undertakes no obligation to update any forward-looking statements, whether as a result of new information, future events or otherwise. I would like to now turn the call over to the company's President and Chief Executive Officer, Mr. Dirk Allison. Please go ahead, sir.
Dirk Allison: Thank you, Drew. Good morning, everyone, and thank you for joining us for our third quarter conference call. With me today is Brian Poff, our Chief Financial Officer. I will begin with some overall comments, and then Brian will discuss the third quarter results that we issued yesterday afternoon. After that, we would be happy to respond to any questions. As we announced yesterday, our strong operating performance continued in the third quarter of 2018, leading to our solid financial results. Revenue for the third quarter was $137.6 million compared to $108.6 million for the same period in 2017, an increase of 26.7%, driven by a combination of 3.7% organic growth and our acquisitions. Adjusted earnings per diluted share for the third quarter of 2018 increased to $0.48 as compared to $0.42 for the same period in 2017, an increase of 14.3%. Our adjusted EBITDA for the third quarter of 2018 increased 20.2% to $11.6 million from $9.6 million, with an adjusted EBITDA margin of 8.4%, even with the lack of a minimum wage price increase offset in Illinois. We ended the third quarter with $147.5 million of cash on hand and $103.2 million of bank debt. Our current cash position reflects both our recent stock offering that we completed in August as well as our strong cash collections from all of our payers, including the State of Illinois. In addition to our strong cash position, yesterday, we announced an amended credit facility, which will lower our borrowing cost and give us the capital to continue our acquisition strategy. We appreciate our bank group, led by Capital One, for working with Addus to complete this agreement. During our last earnings call, we mentioned that the offset to the Chicago minimum wage increase we were expecting in 2019 Illinois budget did not occur. This negatively affected our third quarter margins by approximately 70 basis points. Our team is continuing to work with the Illinois state leaders to implement a price increase. Our ongoing meetings with these leaders lead us to believe that they understand the importance of passing this reimbursement increase to offset this mandated minimum wage increase we experienced July 1 of this year. While we cannot be certain when or if the minimum wage offset will be enacted, we do believe there is a good chance that after today's election, we can start to see more clarity around this important issue. As we announced yesterday, Addus has signed a definitive agreement to acquire the assets of VIP Health Care Services, a New York City-based provider of personal care services. We are very excited that the team at VIP would be joining the Addus family. This acquisition is an important step to further our strategy of developing strong operations in our stakes. Together with our South Shore operation on Long Island, VIP will give us the coverage we need to offer full market services to our MCO partners in both Long Island and the five boroughs. This is critical as the MCOs in New York reduced their networks down to 75 providers. We anticipate a closing for this acquisition during the first or second quarter of 2019 depending on regulatory approval. After adding VIP's operations, Addus will have a pro forma revenue run rate of approximately $600 million, which has been one of our stated goals for the last 24 months. An important part of our acquisition strategy is the integration that occurs after transactions close. As we are nearing the end of 2018, I want you to know that our integrations of both Arcadia and Ambercare are continuing as expected. The integration of both companies remain on track to be completed by the end of the year. Specifically, our installation of home care home base is underway. We have already converted a number of our Home Health and hospice locations in New Mexico with a plan to be completed with this project by December of this year. Also, the former corporate office of Arcadia has been closed, as we have consolidated those functions into our Frisco and Downers Grove offices. Our expected savings from these changes should be fully realized in the first quarter of 2019. As we told investors during our recent completed stock offering, we feel confident in our ability to invest the capital raised in the offering over the next 6 to 12 months. Our planned VIP acquisition is to start up this process. Our development team continues to see a number of potential opportunities, which fit our ongoing strategy. We will continue to focus on expanding our market share in states in which we currently operate, looking at both personal care and hospice opportunities. On our last earnings call, I mentioned that CMS had announced that personal care services can be added by Medicare Advantage plans to their care offerings beginning in 2019. While we feel that 2020 will be a timeframe when more Medicare Advantage providers offer this service, we are now looking to begin our service to these providers next year. We are currently in negotiations with two large Medicare Advantage plans to provide personal care services to their members starting January 1, 2019. We are excited about the possibility of working with these partners to gather the appropriate data, which will allow Addus to help Medicare Advantage providers as they continue to expand their offerings around personal care. While it is too early to tell what the potential impact could be for Addus, this is another positive step towards expanding the availability of our home care services under a value-based payment system and an indication of the increasing awareness by the federal government of the value of personal care services in improving the quality and lowering the cost of health care. Finally, as announced in our press release, we are pleased to welcome Jean Rush to our Board of Directors. She brings extensive experience within health plan operations and administration related to payers such as Medicaid and, importantly, Medicare Advantage. As I've previously discussed, with the upcoming addition of personal care services as a supplemental benefit for Medicare Advantage Plans, we view this as a significant long-term opportunity for Addus, and we will benefit from Jean's experience and knowledge as we move into this market. I'm excited that Jean agreed to join our board and look forward to working together. Before I turn this call over to Brian for a more detailed review of our third quarter performance, let me thank all the employees of Addus. It is important for each of us to realize that we provide a very important and much-needed service to our consumers and patients at a low cost. Our services enable these patients to stay in their homes instead of progressing to a much more expensive health care setting, a much more expensive health care in a less intimate setting. The good work that Addus does is only possible due to the commitment and hard work of each of our employees. With that, let me turn the call over to Brian.
Brian Poff: Thank you, Derek, and good morning, everyone. Our financial results for the third quarter of 2018 demonstrated solid execution of our strategy as we continued to capitalize on the growing demand of our services and extended our leadership position in personal care through both steady organic growth and increasing level of profitability from acquisitions. We believe we are well positioned to continue producing further profitable growth through the remainder of 2018 and into 2019. We continue to expect consistent organic revenue expansion with same-store revenues increasing within our target range of 3% to 5% and through additional accretive acquisitions from a robust pipeline of potential transactions. As Dirk mentioned, total net service revenues for the third quarter increased 26.7% to 137.6 million, which included the impact of a 3.7% increase in same-store revenue. Personal care revenues accounted for 93% of our total revenue for the third quarter and increased by 18% over last year. This growth reflected a 15.8% increase in billable hours per business day and a 2% increase in revenue per billable hour. The remaining growth in revenue was attributed to the addition of hospice and Home Health services with no contribution from these sectors in the prior-year period. As noted in our press release, the adoption of ASU 2014-09 on January 1 affected the comparability of revenue growth and P&L items as a percentage of revenue, as approximately 2.4 million of our provision for bad debt for the quarter was netted directly against revenue instead of as an operating expense, as in prior periods. This change reduced the revenue growth rate for the quarter by 230 basis points, although this reporting change has no effect on the net income, adjusted EBITDA or adjusted earnings per diluted share. Gross margin was 26.7% for the third quarter compared with 26.8% for the third quarter last year. However, with the adoption of ASU 2014-09, lowering our gross margin for the most recent quarter by 120 basis points, our comparable gross margin percentage to the prior-year quarter was 27.9%. As expected, our gross margin for the third quarter of 2018 included a negative impact of approximately 70 basis points from the as-of-yet unfunded minimum wage increase in Chicago effective July 1. We continue to work with the leaders in the State of Illinois on a reimbursement increase to offset the impact of this additional cost. G&A expense was 20.5% of revenue for the quarter compared with 17.8% for the third quarter last year. Approximately 70 basis points of the increase for the third quarter of 2018 was due to growth in M&A expenses and stock-based compensation compared to the third quarter of 2017, including approximately 840,000 related to retention and severance costs for Arcadia and Ambercare. An additional 40 basis points is related to the impact of the adoption of the accounting standards update, with the remainder of the increase primarily attributable to the G&A costs associated with our recent acquisitions, as we expected, and which we anticipate the ability to reduce as we complete our integration process in the fourth quarter of 2018. The company's adjusted EBITDA increased 20.2% to 11.6 million for the third quarter of 2018. Our adjusted EBITDA margin was 8.4% compared with 8.9% for the third quarter of 2017, impacted by 70 basis points by the impact of the unfunded Chicago minimum wage increase. Without this impact, our adjusted EBITDA margin for the third quarter of 2018 would have been 9.1%. Upon the completion of our pending acquisition of VIP, we continue to anticipate further adjusted EBITDA margin expansion from SG&A leverage generated by our growth. Adjusted net income per diluted share grew 14.3% to $0.48 for the third quarter on a higher number of outstanding shares of our recent offering from $0.42 for the third quarter of 2017. The adjusted per-share results for the third quarter of 2018 exclude the following, M&A transaction expenses of $0.11, restructuring charges of $0.02, and non-cash stock-based compensation of $0.07. Our adjusted per-share results for the third quarter of 2017 excluded, M&A transaction expenses of $0.04, restructuring charges of $0.04, severance costs of $0.01, and non-cash stock-based compensation of $0.04. Our tax rate for the third quarter of 2018 was 20.7%, primarily due to a higher level of work opportunity tax credits. We continue to expect our tax rates to remain in the low 20% range for the remainder of the year. Our third quarter net cash from operations totaled 4.5 million. At September 30, 2018, we were well capitalized with 147.5 million in cash on hand. We had bank term debt of 103.2 million at the end of the quarter, which has subsequently been repaid in conjunction with the closing of our new credit facility. As noted in our press release, following the end of the third quarter, we completed a new senior secured credit facility for 269.6 million, which includes a $250 million revolver and a $19.6 million delayed draw term loan, replacing the company's previous facility. The maturity of the new facility is May 2023, with the delayed draw term loan available for draw through January 31, 2019. Currently, we have $20 million outstanding on our new revolver, no draws on our delayed draw term loan, with approximately 65 million in cash on hand. DSOs were 71 days at the end of the third quarter of 2018 compared with 65 days at the end of the second quarter, with DSOs for the Illinois Department of Aging at 66 days at the end of the third quarter compared with 51 days at the end of the second quarter. As Dirk mentioned, we have continued to see consistent payments from Illinois, but as we expected had lower receipts during the first quarter of the state's new fiscal year. This concludes our prepared comments this morning. I want to thank you all for being with us. I'll now ask the operator to please open the line for your questions.
Operator: [Operator Instructions] Our first question comes from the line of Brian Tanquilut with Jefferies.
Jason Plagman: It's Jason Plagman on for Brian. Just a couple of questions. Regarding the MA contracts, Dirk, that you mentioned you're in discussions with a couple of large Medicare Advantage plans. So are those -- do you expect those to be more pilot-type programs in 2019 or will those be broader coverage? Just any additional insight on that would be helpful.
Dirk Allison: Yes. We're not expecting tremendous volumes from our working in 2019 with Medicare Advantage providers, largely due to the fact that I think most of the MA providers are entering into this market carefully, with a more limited offering as to who will be -- have the opportunity for personal care services. So, while I don't know that I would classify it as a pilot, I do think it is going to -- 2019 is going to be a year where we work with these providers to gather data and to figure out how personal care can affect them, both from a marketing and a cost basis, going forward. So we're excited about it, but we expect still 2020 and beyond to be when most of the volume will occur.
Jason Plagman: Got it. That's helpful. And then on the VIP acquisition, do you expect meaningful synergies, given that you already have an existing footprint in New York?
Brian Poff: Yes. I think, Jason, with South Shore and VIP coming together, I think you should definitely see some operational synergies. I think that the biggest piece, strategically, for us is really our relationships with the MCOs in the market. I think adding coverage in the five boroughs, in conjunction with our Long Island operations, is going to be meaningful for us and something that we've been targeting for a while.
Dirk Allison: And let me add, I know you're probably talking mostly about cost synergies. But in our mind, where there's some opportunity here that we're excited about is the revenue synergies by us being large enough to remain in the 75-member panel. We anticipate that we'll be able to pick up revenues -- as we're seeing in Long Island today, we'll pick up revenues as other companies are no longer able to serve their client base.
Operator: And our next question comes from the line of Matthew Gillmor with Robert Baird.
Matthew Gillmor: My phone cut off earlier for a bit, so if this is redundant, you can please tell me to read the transcript. On the organic growth, obviously, a really good number even with the Illinois rate issue. Could you talk about that metric a little bit? Were there any particular markets that drove the outperformance? Are you seeing a benefit in New York with the narrowing of the networks?
Dirk Allison: Yes. One of the things that we've tried to do with our strategy of growth is to really strengthen our offerings in the markets in which we operate. And New York is a prime example, especially now with our partnering with VIP going forward as well as South Shore. So now what we've seen in the third quarter that helped that 3.7% growth rate was we've seen a lot of activity, driven by the MCOs, in the Long Island market moving or asking us to take additional clients or patients on service because the people that had serviced them before are no longer in the market. So I would say, certainly, New York was a strong contributor of that growth.
Brian Poff: Yes. And Matt, I think just to piggyback on Dirk's comments, we saw strong growth year-over-year in two of our other largest markets, which are New Mexico, and then Illinois, both had strong year-over-year numbers. So very positive for the quarter.
Matthew Gillmor: And then with the VIP acquisition, can you -- does their business mix look pretty similar to your existing operations in New York? Is there anything to call out? And then are you disclosing the purchase price? Or if not, can you talk about the multiple if that's sort of in line with what you've sort of generically talked about in terms of M&A multiples?
Dirk Allison: Sure. VIP service offerings are very similar to what we offer in our Long Island market. In fact, one of the things we really appreciated about working with VIP and coming to this agreement is how closely aligned, we believe, our cultures are as companies and the way we operate business. So we are very excited to bring them onboard, bring their leadership onboard, which will help us as we continue to look to grow the New York market. As far as the multiple, we paid probably around 7 times, maybe slightly lower, but right in that marketplace, based on their current run rate. So we're pretty excited since it was so strategic that we were able to do that.
Matthew Gillmor: And then the last question for me on the new relationships with Medicare Advantage and some of the contracts you anticipate starting in January. I know you mentioned those will be small. Can you -- initially, and then hopefully growing in 2020. I was curious if you could talk about sort of the measures that will be part of this year of data gathering. Are these hospital readmissions, those types of measures? What are the insights you're trying to -- in the MA plans you're trying to get from some of these first relationships?
Dirk Allison: Well, we're still working with these MA plans to finalize exactly the data that we'll be looking for. But I would say it probably revolves mainly around two items, emergency room visits, which, obviously, as you know, can be very costly, and it's something that the population our age that we take care of that happens quite frequently. In addition, we will be looking at hospital readmission rates and seeing how we can affect that. So I would say those two are probably the biggest criteria we're talking about at this time.
Operator: [Operator Instructions] Our next question comes from the line of Dana Hambly with Stephens.
Jacob Johnson: This is Jacob Johnson on for Dana. Dirk, I know you guys have always been interested into -- getting into New York City, so congrats on the deal. But I think in the past, there's been some concerns around billable hours in New York. I think for live-in aides getting cut, is this still an issue for you guys? And maybe what gave you the confidence to do this deal?
Dirk Allison: Well, the live-in aide issue, while it is still not resolved, historically, basically, most companies have already made adjustments for that. So it is not as big a problem as it was maybe a year or so ago. But even more importantly, while we -- the hours per patient may go down, and we're not certain of that, we haven't seen it for the last couple of years we've been in the market. I think importantly, Jacob, what we're seeing is that as the markets are or the networks are narrowed, the number of patients that we're getting because other providers are no longer able to service them should offset and help us continue to grow that market. So we believe the dynamics of the MCOs actually starting to narrow the network make New York a really nice place to be.
Operator: [Operator Instructions] And our next question comes from the line of Mitra Ramgopal with Sidoti.
Mitra Ramgopal: Just two questions regarding the New York acquisition. I was wondering if you anticipate synergies with South Shore as you complete the deal. And secondly, New York is also a state that's pushing through higher minimum wages, if you feel comfortable with the reimbursement or being reimbursed for the increase there.
Dirk Allison: Yes. We do believe that there will be opportunities between South Shore and VIP. And we're not talking really in personnel. We'll need everybody in the market as it grows, but opportunities to do things together to lower the overall cost as we work side-by-side with the leadership in New York. So we're very excited, and we think it's a great opportunity. Both South Shore personnel and the division as well as the VIP folks coming onboard, should be a growing marketplace for us. And the second part of your question, Mitra?
Mitra Ramgopal: Yes. With New York also pushing through a higher minimum wage, how comfortable you feel in terms of being reimbursed or able to offset that?
Dirk Allison: The history of New York, since we've been here the last two years, have been that the state has funded minimum wage increases as they come up. So as opposed to Illinois, which has funded them, but in a delayed manner, New York has done it each time there's been a wage increase. So we're pretty excited that the state and the leadership of New York understands the reason for the minimum wage increase and supports that by passing through wage increases for us.
Operator: And we have a follow-up question from the line of Matthew Gillmor with Robert Baird.
Matthew Gillmor: I wanted to follow up on the New York discussion. Dirk, can you remind us where we are with respect to the narrowing of the networks? And I guess, part of the reason I asked is we saw good growth, and they're on a same-store basis, which was driven in part by that. So just wanted to understand sort of where we are in terms of payers actually moving to a lower number of providers.
Dirk Allison: We're really at the front end of that, honestly. We started to see that moving about two months ago, and it will continue as the open panel gets reduced to 75 providers going forward. Now there's also next year, there'll be another tightening of the market. So we are very excited about -- with our VIP operation now, along with our South Shore operation, we'll continue to see that narrowing be a positive effect for the next couple of years. So we're pretty excited about what's happening in New York and our position in the marketplace.
Operator: And I'm showing no further questions at this time, and I would like to turn the conference back over to Mr. Dirk Allison for any further remarks.
Dirk Allison: Thank you, operator. And we would like to thank everybody that joined us today for your interest in Addus and we hope that you have a great week. Thank you very much.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This does conclude the program, and you may all disconnect. Everyone, have a great day.